Operator: Ladies and gentlemen, at this time, I would like to welcome everyone to the Resideo Technologies Second Quarter 2024 Earnings Call. Today’s call is being recorded. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Jason Willey, Vice President of Investor Relations. Mr. Willey, please go ahead.
Jason Willey: Good afternoon, everyone, and thank you for joining us for Resideo’s second quarter 2024 earnings call. On today’s call will be Jay Geldmacher, Resideo’s Chief Executive Officer; Tony Trunzo, our Chief Financial Officer; Rob Aarnes, President of Resideo’s ADI Global Distribution Business; Tom Surran, President of our Products and Solutions business; and Mike [indiscernible], incoming Chief Financial Officer. A copy of our earnings release and related presentation materials are available on the Investor Relations page of our website at investors.resideo.com. We would like to remind you that this afternoon’s presentation contains forward-looking statements. Statements other than historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors including those described from time to time in Resideo’s filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. We identify the principal risks and uncertainties that affect our performance in our annual report on Form 10-K and other SEC filings. With that, I will turn the call over to Jay.
Jay Geldmacher: Thank you, Jason and thanks to everyone for joining us today. We performed very well in the second quarter with adjusted EBITDA of $175 million, well above the high end of our outlook range. Products & Solutions adjusted EBITDA margin of 24.8% was 460 basis points better than Q2 last year as gross margin exceeded 41% as we continue to manage operating costs. Our operating improvements translated into another quarter of strong free cash flow, which was $77 million for the period and $325 million for the last 12 months. We accomplished these results in a market that remains constrained by higher interest rates and soft existing home sales, but where we see increasing stability in many of our most important markets. During the quarter, we completed the acquisition of Snap One, adding to our product breadth and distribution network in the attractive audiovisual and smart living markets. We are excited to welcome the Snap One team to ADI and have hit the ground running on bringing the two organizations together. The integration of these two businesses is a top priority for us in the second half of 2024. We continue to target $75 million of annual run rate synergies exiting 2026, of which we expect to achieve $12 million in year in 2024. We are entering a truly exciting period for Resideo with strong operational execution and increasing pipeline of new products and important value creation opportunities ahead with the Snap One acquisition. I’ve asked Tom Surran, President of our Products & Solutions business; and Rob Aarnes, President of ADI, to join today’s call and to provide greater insight into their respective businesses and the opportunities they see. Before I hand the call over, as you may have seen in our press release, I’m pleased to announce Mike as Resideo’s new Chief Financial Officer effective tomorrow. Mike was the Chief Financial Officer of Snap One for the past decade and was instrumental in the growth of the business. He is a talented leader, and I look forward to working with him to help drive Resideo into our next phase of growth. Tony Trunzo will be stepping down as CFO, but staying on until March 2025 to ensure a successful transition. Tony has been a tremendous leader and partner in reshaping the business with me over the last 4 years to a more financially stable, strategically focused and profitable organization. I appreciate his continued partnership during the transition period. With that, I will turn the call over to Tom.
Tom Surran: Thanks, Jay. We continue to make substantial progress within Product & Solutions in the second quarter. Gross margin reached 41%, our highest level since first quarter 2022 and our fifth consecutive quarter of year-over-year gross margin expansion. Many of our key channels have stabilized and channel inventory in North America appears to be within a normal range. Our new product introduction pipeline is growing, and we’re excited to have a number of significant product releases on target for introduction starting in the fourth quarter of this year. Demand trends have stabilized in many of our core markets in North America despite low levels of existing home sales and higher interest rates. We have seen pockets of demand improvement in the HVAC distribution channel and continued strength with our First Alert safety products. Offsetting these positive trends has been slower activity in the European HVAC markets driven by changes in government incentive programs as well as continued slower security market sales. We continue to deliver strong results in our First Alert safety portfolio. For the second quarter, these sales were up approximately 20% year-over-year, representing our third straight quarter of double-digit growth. Our position remains strong with our key retail partners, and we continue to drive share gains in the homebuilder channel with our BRK brand. Product & Solutions again delivered strong progress against our goal of structural margin expansion. Gross margin reached 41.3%, up 300 basis points compared to Q2 2023. We are delivering improvements in our manufacturing and supply chain organization, and we also benefited in the quarter from better factory utilization in our North American production facilities. These results were achieved in a relatively flat overall volume environment, which highlights the significant structural cost reduction and strategic initiatives undertaken over the past several years. The strong gross margin and ongoing focus on OpEx control translated into adjusted EBITDA margin of 24.8%, up 460 basis points year-over-year. As we look forward with end product and solutions, I am particularly excited by the progress that has been made on the new product front. Since I joined the organization late last year, we have refocused the R&D and product management organizations on critical high-return projects with the goal of pulling forward the introduction of impactful new products in the key areas of our portfolio. This includes a refresh of our thermostat portfolio and updated offerings in our security portfolio to address the large residential and SMB opportunities. Our team has responded enthusiastically to the more focused and accelerated development road map, and I look forward to providing details on these efforts later this year. With that, I’ll turn the call over to Rob.
Rob Aarnes: Thanks, Tom. The ADI team delivered solid results in the quarter and what remains a choppy market environment. We saw increased daily sales averages in each month of the quarter, highlighted by strength in large accounts. And we’re focused on building momentum in the second half of ‘24. From a category perspective, we saw improved trends across most of our key product areas, including year-over-year growth in commercial fire, residential intrusion, datacom and professional audio visual. Offsetting this was headwinds in the video surveillance and Resideo audio – I’m sorry, residential audio visual markets. Exclusive brand sales, not including the impact from Snap One, grew 18% year-over-year and reached a new quarterly revenue record as we continue to roll out new products and expand our category reach. With the addition of Snap One and its large exclusive brand portfolio and development expertise, we expect to meaningfully expand this area over the coming periods. What box, Snap One’s successful power management solution launched into all ADI branches in North America as well as on the ADI North America e-commerce site within just 9 days of close. In the third and fourth quarters, we will launch hundreds of additional Snap One proprietary products into ADI as well as several ADI exclusive brands products into Snap One’s branches and e-commerce channels. For ADI, not including the impact from Snap One, e-commerce sales grew by 6% compared to Q2 2023, including 10% year-over-year growth in June. Our e-commerce investments continue to drive increased customer adoption and we expect several significant enhancements to launch in the second half of ‘24. These include improvements to site speed and performance, the integration of a leading AI search technology to aid product discovery and more accurate estimated delivery dates online for stock and flow orders and projects. We closed the Snap One acquisition in mid-June. And over the past 7 weeks have come out of the gate strong with initiatives around cross-selling, shared best practices, cost reductions and sales enablement. We’re excited to have the teams working together to drive value for our combined customers. The addition of Snap One adds to ADI’s product breadth in attractive growth categories expands the mix of higher-margin proprietary products and services and broadens our customer base. The ADI team remains focused on day-to-day execution, serving our customers across our physical locations and increasingly through digital channels, while at the same time, working with the Snap One team to drive enhanced customer experience and value from the combined businesses. I will now turn the call over to Tony to discuss our financial results and outlook.
Tony Trunzo: Thank you, Rob, and good afternoon, everyone. Second quarter profitability and cash flow were strong, driven by a more stable demand environment in many of our core markets, gross margin outperformance at Products & Solutions and good spending control across the business. Resideo’s second quarter revenue of $1.59 billion was 1% lower than Q2 last year and down 2%, excluding the impact of the divestiture of Genesis and 15 days of Snap One results. Adjusted EBITDA was $175 million and $166 million, excluding Snap One impact compared to $155 million in Q2 2023, and compared to our outlook range of $130 million to $150 million. Fully diluted earnings per share were $0.19 and $0.62 on an adjusted basis compared with $0.34 and $0.48, respectively, last year. Operating cash flow was again strong at $92 million. Products & Solutions second quarter revenue of $630 million was 7% lower in Q2 2023, but down only 2% adjusting for the sale of Genesis. Within North America, we believe inventory levels have normalized across key channels and order trends have stabilized in major product areas. Conditions in EMEA remain more challenging with a reduction in government incentives and political uncertainty causing lower volumes for both gas combustion and heat pump products. First Alert Safety Products delivered another strong quarter, driven by our BRK branded products. We also delivered better revenue and order activity in our Air Products with improved performance at major distribution customers. The residential new construction channel remains an area of growth as we continue to increase our content per home which now exceeds $350 at the top 25 North American homebuilders. Products & Solutions gross margin in Q2 was 41.3%, up 300 basis points compared to last year and the fifth consecutive quarter of year-over-year margin expansion. Gross margin benefited from supply chain savings, ongoing labor cost management and favorable factory utilization. Products & Solutions second quarter operating expense was down 10% year-over-year. The cost reduction actions undertaken over the past 2 years and focus on ongoing expense controls continue to drive costs lower. Products & Solutions adjusted EBITDA was up $19 million year-over-year to $156 million with adjusted EBITDA margin expanding by 460 basis points to 24.8%. Turning to ADI. Q2 revenue was $959 million. Excluding the $45 million of Snap One revenue contribution, revenue was down 1% versus the prior year. Sales trends improved as the quarter progressed, however, and particularly in the last 2 weeks of the quarter. ADI adjusted EBITDA of $77 million was down 3% compared with Q2 last year and benefited from $9 million of Snap One contribution. Lower gross margin in the pre-acquisition ADI business continues to negatively impact profitability with operating expenses remaining relatively flat year-over-year. Corporate costs were $70 million but essentially flat with Q2 2023 after adjusting for Snap One transaction expenses and other unusual items in both periods. Q2 cash from operations was $92 million compared with $121 million in Q2 last year. Excluding the impacts of the Snap One transaction costs and stub period results, operating cash flow was essentially similar to the prior year period. For the trailing 12 months, operating cash flow was $417 million and free cash flow generation was $325 million. Working capital trends remain positive, and we anticipate continued strong cash flow for the remainder of 2024. Concurrent with the closing of the Snap One acquisition, we closed on a new 7-year $600 million Term Loan B offering and completed the previously announced $500 million perpetual convertible preferred stock investment from CD&R. Subsequent to quarter end, we sold $600 million of 8-year senior unsecured notes at an attractive 6.5% interest rates. These notes were used to repay a portion of our $1.1 billion of outstanding 2028 term loan and provide incremental flexibility by translating secured debt to unsecured. Following the acquisition of Snap One and these related financing transactions, our net leverage stood at approximately 2.3x our last 12 months adjusted EBITDA. As previously communicated, we’re targeting to reduce our net leverage to below 2x by the middle of 2025. We expect to accomplish this through cash from operations, ongoing growth in adjusted EBITDA and potential divestiture of non-strategic assets. We remain committed to an investment-grade credit profile and strong BB credit ratings. Turning to our outlook. For the third quarter, we expect revenue to be in the range of $1.79 billion to $1.83 billion, adjusted EBITDA in the range of $170 million to $180 million and adjusted EPS of $0.49 to $0.59. For the full year 2024, we expect revenue to be in the range of $6.68 billion to $6.76 billion and adjusted EBITDA to be in the range of $655 million to $695 million. Adjusted EPS is expected to be in the range of $2.15 to $2.35. This outlook includes expected contribution from Snap One of approximately $550 million of revenue and $65 million of adjusted EBITDA. We now expect to generate at least $375 million of operating cash flow for the full year 2024 compared to our prior guidance of $320 million. Before I hand the call back to Jay, I wanted to say how pleased I am that Mike Carlet will serve as our next CFO. Mike is an outstanding leader for the team and the strategic skills that I’ve observed working across the table in the Snap One transaction and as peers in the industry for the past few years will prove valuable as we continue to shape our business and capitalize on the growth opportunities ahead. Congratulations, Mike. I’ll now turn the call back over to Jay for a few concluding remarks.
Jay Geldmacher: Thank you, Tony. During the second quarter, we demonstrated continued momentum and our work to structurally improve the foundation of Resideo. This includes driving higher gross margin and profitability within Products & Solutions, while accelerating our innovation and new product efforts. We also took a major step in driving value through strategic M&A with the acquisition of Snap One, adding capabilities that expand ADI’s offerings and grow our opportunity in smart living across both businesses. Many of our key end markets are showing signs of stabilization, and we continue to deliver profitability expansion despite constrained volumes. As we look forward, I’m extremely excited about our near-term new product pipeline within Products and Solutions. The planned releases in both our thermostat and security product categories have the potential to be the most impactful since I joined Resideo in early 2020. Just as exciting is the opportunity we see for creating value in bringing the Snap One organization together with Resideo. While less than 2 months into the combination, we have already made significant progress enabling cross-selling, validating cost reduction opportunities and sharing best practices across the teams. It’s been a busy period at Resideo and the rest of 2024 is positioned to deliver continued progress. I want to thank the entire Resideo employee base for their efforts. I’m excited to continue to build on the momentum together as we move through 2024. Operator, we are now ready for questions.
Operator: Thank you. [Operator Instructions] Your first call or your first question comes from the line of Erik Woodring from Morgan Stanley. Your line is now open.
Erik Woodring: Great. Thanks so much for taking my question. Congrats on the quarter guys. Tony we’ll miss you. I guess we’re stuck with you for the rest of the year and into early next year, but it’s been a pleasure. And Mike, obviously, good to – excited to work with you again. I think maybe my first question, maybe I guess is for you, Jay, just as I look at the back half of the year and think about the way that you’re guiding the PMS business, it does improve or does imply that declines in the business improve I know you lasted Genesis, I believe, in 4Q, the Genesis divestiture in 4Q. Can you maybe help us dig a little bit deeper and understand. Is that a reflection of market trends? Is that a reflection of the products you guys are talking about in your prepared remarks? Maybe it’s a little bit of both. But maybe just help us understand the moving pieces for PMS as we look into the second half from a top line perspective. And then I just have a follow-up. Thanks.
Jay Geldmacher: Yes. Thanks for the question. As we – both myself and Tony indicated as well as Tom in our remarks, I mean, the residential housing market still is a little challenging, and we have to be careful with that. It’s not really a major change from recent trends. The interest rates are where they are, affordability, constraining housing turnover and discretionary repair and return – repair and remodel. But at the same time, we know – I think we all – we read the press in terms of what we think is going to happen with interest rates, with the Fed changing most possibly here in the coming months. So I think we’ve, I think, done a really good job from an operational cost standpoint as we’ve indicated over the last 18 months to position the business as we’ve gone through this change in the market. And so I think we feel pretty strongly that when the markets do change, the strength comes back in these areas, I think that’s going to be very beneficial to the company. You heard me talk about NPI as well as Tom. And I think my excitement is very strong in terms of what’s going on in Products and Solutions in terms of NPI velocity, and I think we won’t see a big step-up this calendar year in that, but I think it brings a really, really positive and exciting future getting into 2025. And I’ll let Tom give any further comments from his side on that, too. So our current out for the back half of the year is just kind of – we know there’s still some headwinds out there. But I’m excited about the future as we finish up ‘24 into ‘25. Tom, do you have any additional comments?
Tony Trunzo: Yes. I think the NPI that you’re referring to will just start at the end of Q4. So that’s really something you’ll see more in 2025. That said, we’re very pleased with the progress we’re making in the residential new construction market, and we continue – we expect to continue to see improvement in that market as we expand our content per home. So those are two things to watch.
Erik Woodring: Great. Thanks. That’s very helpful. Thanks. And mortgage rates at 15-year lows, cross your fingers here. Maybe a second question, and this is Tony, Jay, Mike, and you guys as we work towards the integration of Snap One, can you maybe talk about – you told us it’s a priority for you kind of the key priority? Is it product integrating the private label into ADI? Is it go-to-market actions? Is it customer account integration or technology integration? Where do you think you really start first and put a lot of emphasis as you start to integrate the 2 businesses? And that’s it for me.
Rob Aarnes: Yes. Erik, this is Rob. Thanks for asking that question. So I would tell you that just a general statement around integration, I mean, we’re 7, 8 weeks into this thing, and I couldn’t be more impressed with the group and the movements that we’ve made I would tell you first priority, while it sounds soft and squishy a little bit here is just the integration of these two great cultures and the leadership team, putting a leadership team in pieces in place to be able to drive all things forward. And you heard about Mike’s announcement today. I’ve added three members of the Snap leadership team now to my leadership team. We’ve gotten through the restructuring of the next two layers down, which is a good representative of both businesses. So I think that was priority one for us, positions us to now get after all the subsequent integration activities some of the things that you just mentioned. One, I mentioned in my remarks around cross-selling. The team has really gotten out the gate hot on this one. We got – What Box into our North America locations and e-commerce channels 9 days after we closed. In the next couple of months, we’ll have hundreds of Snap proprietary products launching into our ADI business and then a few of our exclusive brands that we have at ADI launching into the Snap locations here in the Americas to fill some gaps. So I’d say that’s priority number two. And then number three, in terms of bringing these teams together, the sales enablement piece and really getting all aspects of the business wrapped into one aggressive operating cadence to drive performance to help us reach not only integration goals, but our go-to-market goals as well as our financial objectives for the back half.
Jay Geldmacher: I’d add one thing just to kind of help a number of our investors out there understand a few things that Rob said in terms of how impactful they were shortly out of the gate. Rob mentioned lockbox and getting that out into the existing ADI branches within 2 weeks after we close. And that’s just for everyone’s information, that’s over 100 branches. But it wasn’t just a couple. It was over 100 branches they were able to put that in. So the teams have been very focused on moving fast and they really hit the ground running. So, the teams have been very focused on moving fast and they really hit the ground running.
Erik Woodring: Thanks Jay.
Tony Trunzo: I did say even more challenging was the e-commerce, right. We got it up on the e-commerce site, which you think is easy, but then all the relationship building that went into making sure that Wattbox was recommended with every viable product, right. That’s a lot of relationship building there. So – and that’s been a big driver as well.
Erik Woodring: Thank you, guys.
Operator: Alright. Your next question comes from the line of Amit Daryanani from Evercore. Your line is now open.
Michael Fisher: Great. Thanks. This is Michael Fisher on for Amit. Just to start with, so on the P&S side, the gross margin performance has been impressive despite some challenged end markets, I suppose. So, how should we think about the long-term gross margins in this business as end markets recover? I mean should we think about a lot of leverage on future growth of existing home sales and kind of everything else recovers?
Jay Geldmacher: Tom, why don’t you take that?
Tom Surran: Yes. Michael, this is Tom. The way to think about the margins for P&S, there is four major things that we will be focused on. One is we are focusing our development on platforms and the product development. So, we are taking our scale and leveraging that. And with that, that will improve margins. Second is the efficiency of our operations. And you saw some of that in this past quarter. So, we want to make sure that our spending levels and our utilizations are high, and that will improve margins. Third, with our product development, we are creating differentiation in our products, and we expect the market to reward us with better gross margins as we create differentiated offerings and create value for our customers. And then lastly, as we invest in these products, you would expect, and I know we will focus our investments on those products that are going to have the best returns. So, you will see a natural shift in the mix to the higher-margin products. So, you aggregate those, that gives a positive trend line for our margins over the long haul.
Jay Geldmacher: The one additional thing I would like to add because I want to give kudos to our – to Tom’s supply chain organization is that, we all know how tough it was out there during the crazy supply chain constraints for a couple of years there. And the team now has been able to go out and be able to pick up, reduce cost out there in the supply base, which has been helpful. And that trend should continue.
Tom Surran: Yes. That’s part of the efficiency.
Michael Fisher: And then are you curious that – kind of two questions here, but one on HVAC inventory levels, are those back to normal levels? And then on security products business, I think that’s been a drag for a few quarters now. Is that one where we just need to see existing home sales recover, or is there anything else to be aware of there?
Jay Geldmacher: I will comment and let Tom. The inventory levels in our channels have gotten, I would say, we are in pretty good shape compared to where they were. So, that’s why I think I made the comment about stabilizing in those areas. In the area of security, that ties a lot to NPI or what Tom do in NPI, make sure with the housing market come back, that will help, too. But in particular, the NPI is really important. Tom?
Tom Surran: Yes. So, I would want to just clarify on the inventory levels. You are speaking to the North American distribution market. And that we have seen the inventories drop to a healthy level where we basically wouldn’t expect too much additional improvement. EMEA, because of what’s occurring there, we see concerning inventory levels, and we don’t expect that to correct until mid-2025. Now, in terms of the second question, in terms of security products, it’s clearly an area we are focusing on new product introductions, and we will have something later this year as our first offering in that. And we are going to continue to invest in that because our position and our right to win in that market, we believe, is quite high, and we like what we have got in the pipeline to develop to create value for our customers.
Michael Fisher: Great. Thanks guys.
Jay Geldmacher: Yes. Thank you, Michael.
Operator: [Operator Instructions] The next question comes from the line of Ian Zaffino with Oppenheimer. Your line is now open.
Isaac Sellhausen: Hey. Good afternoon. This is Isaac Sellhausen on for Ian. Thanks for taking all the questions. Just on the updated guidance, I know you provided some updates on ADI and commentary on the softness in residential. But could you just provide some color maybe on your expectations for Snap One’s growth for this year?
Tony Trunzo: Yes. I mean the outlook we gave for the year included $65 million of adjusted EBITDA and $550 million of revenue for Snap, so not terribly inconsistent with sort of the trends that we saw pre-acquisition. It’s – the markets are a little bit soft, but we expect the business to start to stabilize as we go through the year. And I would highlight, as Rob mentioned, the real value creation here in the short and intermediate-term is around the execution that Rob was talking about, sales enablement, the cross-selling, the execution of the operating system that ADI brings into the Snap organization and really driving those exclusive brands through ADI. It’s going to take a little while to get there on those, Isaac, but those are the areas that we are focused on, and those are where we see the real value levers.
Isaac Sellhausen: Okay. Understood. Thank you. And then just a quick follow-up on ADI now with Snap One’s products in the portfolio, what is the overall mix of, I guess proprietary products versus exclusive or third-party brands. And then has there been any rationalization so far as – as far as product overlap so far?
Tony Trunzo: Yes, that’s a great question, Isaac. So, overnight, right, you think about the day after we did the deal, roughly $4.6 billion, $4.7 billion organization, about 20% of that is now proprietary products, right. Snap’s – if you look at Snap just standalone, about two-thirds of their business was proprietary products and about 5% of our business was what we call our exclusive brands. So again, combined, now we are sticking to kind of knocking on the door about 20%. So, a significant advantage for us as an organization and now have that. And then if you take it a step further, you think about, alright, where are those products positioned. The majority of the Snap products is in pretty much one area, right, residential AV. Now, we have an opportunity to, as we move forward, utilize their development expertise to actually expand that into other categories that ADI plays in and really start building a muscle from the sales team to start understanding how to sell not just hardware products, but great hardware products with robust software offerings and ecosystems like Overseas and Control4. And that’s where we will spend the majority of our time between now and the end of the year, building those capabilities to then better position us for ‘25 and beyond. And I am not sure I got your second question. I want to make sure I get back to that.
Isaac Sellhausen: Yes. It was just on the rationalization as far as products overlap, if there is any areas that you have addressed that so far?
Tony Trunzo: Yes. So, we are going to have to do some of that. Isaac, there – those projects are underway, and they will be launching simultaneously, as you heard me talk about earlier, as we launch a few hundred more Snap proprietary products into ADI, we will be looking at the current third-party brands, many of which are near and dear to us. We want to make sure we continue to support those. But we will also look hard at rationalization opportunities to make sure that we make room for that very margin-accretive Snap One product line.
Isaac Sellhausen: Okay. Great. Well, that’s all I had. Thanks so much guys.
Operator: Alright. And the next question comes from the line of Danny Pfeiffer with JPMorgan. Your line is now open.
Danny Pfeiffer: Hey guys. Thanks for the questions. For the first, I believe last quarter, you guys called out large project delays in January and February. Just wondering any of those trends tripled in 2Q. And then for the second, can you maybe parse out what’s kind of driving the strong growth despite the kind of weaker macro backdrop? Thanks.
Tony Trunzo: Yes. So – hey Danny, it’s Tony. Yes, early in the year, we saw – as we came into the year at ADI, we saw some delays in some of our large projects that we were pretty sure weren’t going to get canceled. We just saw them getting pushed out. I will let Rob comment, but I would say that’s abated over the last three months or four months. We haven’t seen a robust recovery, but things have abated there.
Rob Aarnes: Yes. So, just to add to Tony’s comments here, Danny, he is exactly right what we saw in Q1. And I mentioned this briefly in my remarks, but as we look at April, May and June, right, we saw it, actually acceleration of our daily sales average on all three of those months and with our best month being June. A lot of that growth was driven by our large accounts. And some of that was projects that didn’t happen in Q1 that were shifted to Q2. But I am also – as Tony mentioned, cautiously optimistic about that trend continuing into the back half. When I look at our order intake, our sales pipeline, the verticals that continue to perform for us and continue to look like there is a little bit of upward momentum in the back half, I don’t see a stopping to this trend. I don’t see any hockey sticks, but I do see it continue into the back half.
Danny Pfeiffer: Great. Thanks. And then on the second, if you could parse out maybe kind of what’s driving that strong growth at First Alert despite kind of the weaker macro backdrop? Thanks.
Tony Trunzo: Yes. We did see strength in First Alert, particularly in BRK through that residential new construction channel. That’s really been the driver of the outperformance at First Alert.
Jay Geldmacher: If you remember, Dan, we have indicated, I think over the last quarter or two quarters in terms of some of the momentum in terms of the share that we have been able to pick up with R&C customers. Tony mentioned in his comments, but the BRK has been a good driver of that. Tom, do you have anything to add?
Tom Surran: It’s exactly right. So, as we have sold the BRK product into the R&C, it’s creating the opportunity to bring other offerings and having them being exposed to the complete product line and developing those relationships and them understanding the suite of products we can bring to their houses. That’s been very successful.
Jay Geldmacher: Yes. I mean as you guys also have known out there that I think over the last couple of years, we have indicated at various points about the overall content that we have for a new home. And if you go back a couple of years ago, it was in the low hundreds. And today, it’s a little over 300 for these new – 350, Tom said in terms of these new R&C customers that we have been able to penetrate with a large help with the first of all BRK product.
Danny Pfeiffer: Thanks.
Jay Geldmacher: Thanks Danny.
Operator: There are no further questions at this time. Mr. Willey, I will turn the call back over to you for closing remarks.
Jason Willey: Thank everyone for their participation today and continued interest. And as always, please feel able to reach out if you have any further questions, and we look forward to speaking with you over the coming weeks and months. Have a good rest of your day. Thank you.
Operator: Thank you. That does conclude today’s conference call. You may now disconnect.